Matthijs Storm: Good morning and welcome to the Wereldhave First-Half 2024 Results Webcast. Today I'll talk you together with our CFO Dennis de Vreede, through the highlights of the results. As always you can type your questions in the text box in your screen also during the presentation and towards the end of the presentation we will deal with the Q&A. So let's start with the key messages of these results. If we focus on the operational metrics, I think if we look at the Dutch market, as you know, which has been a tough market for us over the past five years, six years, we saw a strong recovery last year and that is continuing in 2024. Dutch retail sales were plus 4% that is also above the level of inflation. So we have also seen volume growth for several of our retailers. I think that is also the result of the improved portfolio quality on the one hand through the disposals that we made in the past couple of years, but also the new full service center concept that we have created. Food fall plus 5% but almost plus 10% for the full service center. I think service centers also a very compelling figure. Valuations, they were positive last year and that trend is continuing. Everybody sees that interest rates are stabilizing, but what we noticed is that our plus 3% in valuations was first and foremost driven by increased ERVs. Over the past two years, we've had several discussions with the media and also investors, analysts about the rental levels that we were indexing with very high figures. Can you maintain those rental levels? What you see in the first-half result is an answer. The answer is yes. The leasing spread for the portfolio, for the core portfolio was a positive plus 1% and that is now also being reflected in the valuations. The Fitch credit rating reported on that a couple of weeks ago, BBB stable. We're very happy to be back on track with regards to the balance sheet. I think this is the strongest balance sheet we've had since 2019 when Dennis and I took over and Dennis will tell you more about that later. The debt profile has also been strengthened with new USPP and with regards to disposals, we already mentioned during Q1 and also with the AGM that we were working on disposals first and foremost for the Dutch market. Again, we're doing this because the fiscal regime is changing in the Netherlands. The REIT regime is cancelled as of the 1st of January 2025 and also the real estate transfer tax in the Netherlands is at a pretty high 10.4%. We've taken the first steps. We're working on exclusive discussions on two of our assets and on a third asset we're having joint venture discussions. Direct result in the first-half of this year was impacted by bankruptcies mostly in Belgium. We'll get back to that later, but also some higher financial expenses. What you will see in H2 is a normalization on the back of the new Fitch credit rating, which is causing lower marginal cost of debt, but also the fact that by now we've leased already most of the vacancies in Belgium. And this is the reason why, and that is the last bullet on this slide, we can reiterate the EUR1.75 direct result per share for 2024. If we then go to the key numbers, I've mentioned this, the direct result per share a little bit lower in the first-half of 2024 versus last year. What you can see again for the second-half of the year is the benefit of the lower marginal cost of debt, the leased vacancies, but also a higher other rental income. And based on those, we still expect the EUR1.75 for 2024. In that scenario, we are not counting on further ECB rate cuts. Of course, if that's going to happen, that would only be upside. Indirect result per share on the back of the positive valuations, strong increase. And if we look at the loan-to-value at 43%, of course, it's higher than with Q1 because we paid the dividend in Q2, but it's lower versus the first-half of last year. And of course, in the second-half of the year, we will have the retained earnings, and we forecast only roughly EUR20 million of CapEx. So towards the end of the year, we expect a lower LTV. Finally, the proportion of mixed use has also increased from 13.3% to 14.5%, so we continue to work on our strategy. If we look at like-for-like rental growth, we've had two years of almost double-digit like-for-like rental growth on the back of high inflation and indexation. In the Netherlands, I think plus 5% is a very strong figure. Belgium has been impacted by the vacancies, which is logical. We do, however, expect based on the already signed leases regarding those vacancies that this figure will improve in the second-half of the year. If we then go to the results themselves, leasing from an operating perspective, we had a positive leasing spread of 1.3% in the first-half of this year, 7.4% in Belgium, and a very small negative in the Netherlands. And what I think is very interesting is that we are still leasing 12.3% above ERV. And what we've seen is an increase in our ERVs. Last year, we've seen an increase in the ERVs and the valuations in the first-half of 2024, but still releasing 12.3% above. And if I also look at the lease assigned post the 30th of June, this trend is continuing, which I think is quite promising for the second-half of the year. If we then go to the next slide, that is the full service center performance. As always, we break down the portfolio in three brackets, full service centers, in-transformation and shopping centers. And you can see the full service centers by now is by far the biggest one. I'm not going to read through all the figures, of course, but you can see, for example, in the MGR uplift, new rent versus old rent, but also in the footfall that the full service centers continue to outperform strongly. Footfall, both in Belgium and in the Netherlands, we have also been doing better than the market. And this is interesting because during the COVID pandemic, we also outperformed significantly. And I think there were many people who were expecting that that would normalize after COVID, but you can still see that our centers are performing better than most others, the high streets in Belgium and the Netherlands. If we look at tenant sales, there's a 2% increase versus last year. Of course, here again, Belgium is also impacted by the vacancies. That's why it's only plus 1% that will recover in the second-half of the year. In the Netherlands, plus 4%, I think it's a very decent figure. Some categories such as F&B, but also health and beauty are performing very strongly. The strategy of the company LifeCentral, we're making significant progress. Daily life is now 67% of our footprint of our portfolio. When we started the strategy, this was 50%, 51%. And you can see with this, the portfolio is becoming more-and-more resilient. I'll skip the next one. We'll go to the next slide. This is a new slide in the presentation deck. We thought it would be interesting to highlight this to you. What are we showing in this slide for the Belgium on the left side, and also for the Netherlands on the right side. There's a number of lines in this chart. What we are comparing is the available household income per store versus 2015. What we've seen in both markets is that the income of the population in Belgium and the Netherlands has grown, of course, since 2015. Also, if you adjust for inflation, so in real terms. But what you can see is that the number of stores has decreased. And I think if you look at both markets, 48 percentage points and 57 percentage points, you can see we get to a situation where the available spending power versus the amount of physical stores has grown to a point, where rental levels and also sales in the physical stores are picking up again. So I think for a number of years, of course, physical retail has been difficult because there was an oversupply of retail. This is also what we emphasized when we launched the strategy. But we see also now, based on these numbers, that we get to a situation where the spending power versus the number of physical stores is actually looking quite good, which is encouraging, I think. If you then look at the leasing market, we have been talking about polarization for the past couple of quarters. Here you see some examples, I think, on the left-hand side. Of course, the bad news, the bankruptcies. GrandOptical in Belgium, Body Shop, ESPRIT, Kenshoo Fashion, also some restructuring, such as Cassis Paprika. The good news is that most of these stores have now been re-led already or are almost re-led. And if you look on the right-hand side, you see a lot of strong brands that we've been expanding in our portfolio, such as the Danish discounter Normal, Pearl in Belgium, The Sting, but also the German Fashion discounter New Yorker, Scapino, Wibra. And we also signed a new package deal with a gym operator, which is called Yellow Gym, for new locations in Hoofddorp and Tilburg. I would say if this trend is continuing, I think that it only has a positive impact on the quality of our cash flow, but also the quantity of the cash flow. Take Belgium as an example. Once we have refilled all the vacancies, you will end up with a higher rent than previously and a better quality cash flow. If we then go to the occupancy cost ratios, here we've seen a small increase. Belgium and the Netherlands are now at 13% and 14%. I think these are still very affordable levels for our retailers, given their floor productivity. And I think what you also see here, for example, fashion 15%, 16%. I think these are very healthy figures. If we then go to the direct results and the bridge, how we get from H1 '23 to H1 '24, of course, the acquisition of Polderplein in Hoofddorp in December last year is contributing a lot. We've also seen that the net rental income in Belgium is increasing. France is a small minus. The Netherlands is also a plus on the back of the indexation and the rental growth. However, it's logical that the interest expenses are taking out a lot. I always say, lease contracts are indexed annually and the debt is only being marked to market at the point of maturity. And it's logical that that is lagging, of course, in this market. Going forward, if indeed the ECB keeps cutting the rates, and also if the long tail of the yield curve will go down a bit, there is some upside, of course, in our marginal cost of debt. Certainly now, we have this BBB stable credit rating. If we then look at the outlook for 2024, yes, it's the same slide as six months ago. We still expect EUR1.75. Also for the next year, as a reminder, next year we will spend some money on the tax side in the Netherlands, of course, because the FBI regime will be gone. On the other hand, that will be compensated by rental growth. Dividend per share, we still expect to go from EUR1.20 to EUR1.25. If we then go to the strategy I already mentioned, we're making quite nice progress on our mixed-use targets. Here you can see some examples. I already mentioned the opening of the two Yellow Gyms in both Hoofddorp and Tilburg. We also opened this quarter the new health cluster in Presikhaaf in Arnhem. You can see it in the picture on the top left hand side of this slide, which is now full and quite successful. Kronenburg in Arnhem is one of the ongoing transformations. This is one of the larger, very established centers in Arnhem. It was delivered in 1979 and Wereldhave has been the sole owner of this center since then. So we know this center inside out. We started on phase 1. The construction activity is going on at full speed at the moment. The center is already, the development is already circa 95% leased. There will be a new big grocery chain, Jumbo Foodmarkt, but also some additional daily life tenants, as we call them. At the moment, we're working on the second phase of this project. Amongst others, we are also developing with our partner Amfest residential units. The first 156 units are being developed as we speak. Then if we look at the strategy from a CapEx perspective, we've now spent about EUR206 million of CapEx. We have EUR85 million to go. We expect EUR20 million for the second-half of the year, of which roughly 50% is committed. For 2025, EUR30 million and afterwards EUR35 million. So you can see -- if you do the numbers ballpark, you can see that our cash flow from operations, our free cash flow basically is almost turning positive because the CapEx numbers are much lower than in the past. Finally, on the yield shift, what we see is that since we launched this strategy, the yields in the Belgium and the Dutch market, of course, have gone up amongst others because of the COVID pandemic, but also the increasing interest rates, circa 90 basis points, as you can see in this bar chart on the left. But you can see that most of our centers have outperformed that movement from a yield perspective, which has always been a part of the strategy. Once we de-risk the asset, we think it also deserves a lower yield. The residential profits, we have adjusted the numbers last year, as you know, on the back of interest rates. The good news is we now signed the deal in Tilburg, so there will be a EUR3 million inflow of cash in 2024. And in 2025, there will be an EUR8 million inflow from Nivelles. The other profits will come after 2025. Again, as we always say, for us, we extract from this opportunity what we can. We do this by selling the building rights. It's not the big game changer for the Investment Case Wereldhave, in my view, but again, these are nice additional profits for you as a shareholder. With that, I'd like to hand over to Dennis.
Dennis de Vreede: Thank you, Matthijs. And also a very good morning from my side to all of you. I'll give you a bit more color on the second three topics of our presentation today before we open it up for questions. To start with, the valuations, and Matthijs already mentioned that we have seen a healthy revaluation -- positive revaluation of 3% for our core portfolio, mainly driven by the Belgian portfolio this year. And that's been really driven on -- on that side by the ERV catch-up. So, what we have seen in the past, we've been leasing significantly above the ERVs, and the evaluators have been picking that up, and that's been reflecting in this first-half year in a 4.9% increase in Belgium. For the Netherlands, we are also positive again, 1.4%, also mainly driven by the ERV upside, and France and the offices in Belgium are stable for the first-half year. Our LTV ended up at 43% for the first-half year, which is 90 basis points lower than the first-half of '23. I think that's a positive, that's a trend downwards, slightly above the full year 2023. Mainly, of course, the drivers are the lower CapEx investments we did in the first-half year. We're still very cautious with CapEx spending, although we keep focusing on our full service strategy and the transformations. Secondly, we continue to focus on our cost side. As you may also have seen in the press release, we are at a 23%, 24% EPRA cost ratio, which is down like 6% or 7% from last year. And we keep working, as we mentioned here as well, on our target to be sub-40% LTV in the longer term. If I then move on to the debt profile, this snapshot here shows a very healthy debt profile for the first-half year 2024. Our debt profile is also further strengthened by the new EUR119 million USPP we have successfully raised over the past few weeks, which is meant to refinance the EUR88 million maturing USPP, which we need to repay this month. But all-in-all, that was a very successful transaction. Certainly, our Fitch BBB stable rating helped us to raise those EUR119 million’s against competitive rates and with a weighted average tenor of about five years, sub 5% if I all hatch this back into euros. And the rest of the table here, you can see that we are very comfortable within all the bank covenants. On the debt composition and maturity profile compared to the end of '23, a nice snapshot here with the two bagels. Clearly, you can see that we have been refinancing the green portion on the left hand side, that is the USPP maturing. And we are also very much working now on the 2025 term loans in Belgium, which is a EUR50 million maturing term loan. And we are well on track with that to refinance that in the second-half of our year. In the co-op box, also not unimportant, we have been pushing up our total debt maturities from 2.9 years to 3.4 years with the new USPPs. Moving on to ESG, another key focus for our company. We keep pushing to become future proof as we say that. I'll go to the next slide. We have been further accelerating our solar and also our EV strategy. We have been generating 13% of our total energy consumption last year from our solar panels, which is, I think, a very good performance. We have two more solar panel projects this year in the Netherlands, which we are finalizing. I think those are on Koperwiek and Middenwaard in Heerhugowaard. And we are also, which is the first time we do this in six years, we're looking at partnerships with some of the larger supermarket chains to sell directly the electricity from the solar panels to them with a lease by means of a lease contract. On the green leases, which is another focus point for us, it's also in the KPIs of the STI of our employees. That's what we're trying to push up this year to 69%, 70%. Half year we're at 68%, so that's moving in the right direction. And another, I would say, finally, a big topic for us is obviously the CSRD and EU taxonomy preparations. We need to be ready by the end of this year, basically, to start reporting in compliance with CSRD and EU taxonomy from 2025. Our management agenda, finally, before we open this up for questions, I think a very similar picture from what we have seen -- what we have shown you last time. I think we are very much on track with the first four topics, as you can see here. And on the phase out of France, we keep pushing and keep searching for the right moment to divest our two remaining French centers. And obviously, we have been de-risking the balance sheet very significantly, but we keep also pushing on the longer term to push our net LTV below the 40%. And with that, I hand it back to Matthijs and open it up for questions, I think.
Operator:
A - Matthijs Storm: Thank you. Thank you, Dennis. And thank you for listening. We have a first question from Amal from Degroof Petercam. Good morning. A few questions on my side. Are you considering a reverse merger like the one announced by Vastned? That is a question we can deal with immediately. I think Vastned can speak for themselves. I think they have a different strategic rationale to do this versus us. So at the moment, we're not working on a merger. I think if you look at the cost side, we have already achieved a lot of cost savings in Belgium, about EUR1.3 million recurring cost savings that we already communicated on previously. And again, these are recurring. In addition to that, if you look at our marginal cost of debt and the spread we are achieving on our unsecured financing, as Dennis was mentioning, it is approaching the Belgian levels. So I think also from a financing perspective, apologies, there's not a lot of upside here for us. I'll leave it with that. Do you think the level of OCR for fashion and footwear retailers is sustainable? I think fashion 15%, 16%. Yes, that is sustainable, because that is a mix between some of the discount fashion retailers, but also some of the higher priced fashion retailers. I think once this becomes above 20%, and yes, we still have one or two local examples which are above 20%, but we will deal with that. We will replace them. I think that is sustainable. Same story for the footwear, Amal. Question for Dennis, how do you see average financing costs evolving in the second-half of the year?
Dennis de Vreede: Yes, good question, Amal. We are at 3.46%, like I said in the presentation, at this point in time. We do obviously see that moving up, given the fact, for example, that our -- given the fact, for example, that our USPP -- latest USPP, we were able to raise at sub-5%, at 4.95%. To be exact, I do expect that to move up. So by the end of this year, my estimate would be that we will be closer to 4%.
Matthijs Storm: And the last question also from Amal, when do you foresee French asset disposals? Yes, like we've been commenting, Amal, also in the press release, the French investment market is very quiet at the moment. I think in the second-half of the year, you can expect news about Dutch disposals and or joint ventures, but in France, it's going very slow. Of course, eventually that investment market will also pick up, and at the right time, we will sell the last two French assets. Then I look at the questions, and I don't see any further questions. If you have additional questions, please type them in the text box, and we will deal with them. I'll give it another minute. Another question from Amal, could you give some color on the type of assets you have put on the market for sale in terms of size, but also profile, transformed or not? Certainly, I think one asset that we are selling is a completed full service center, I would say, average size. One of them is a center, which is 100% occupied, but one that we cannot turn into a full service center, which is our strategy. So that has always been in the hold or sell buckets in our IRR framework. And the asset where we are talking about a potential joint venture is also a full service center. Then we have another question on the financial side. Dennis from Mrs. or Mr. Singh, how can your debt profile improve by lending more money?
Dennis de Vreede: That's obviously a good question. I mean, if I look at our debt profile, if I look at our balance sheet, we've been in very choppy waters back in 2018, 2019, when both Matthijs and I started. We had very little liquidity. We had some issues with at the time or discussions at least with our auditors about growing concern. So it was a very weak balance sheet at the time and through a number of disposals for French, but also the five from the Dutch side, but also by raising longer term debt, we have been able to strengthen our balance sheet. And our debt profile, I think, in the very end is also managed by the maturities. We are now moving from 2.9 years, less than three years maturities into the 3.4 years maturities. And if I also look at the latest, I would say 119 USPP race, which was in the very end at sub 5% interest rates. I think you can speak about an improving that profile.
Matthijs Storm: Thank you, Dennis. We have a question from Alex Colston. Is the current EPRA cost ratio of 24% a good base case assumption going forward, or will you aim for further improvement and get the ratio down more? Maybe you can comment on that Dennis.
Dennis de Vreede: Yes, thank you for the question. Yes, well, as you can see, we came from about 31% EPRA cost ratio. I think the focus is always on the direct Gen X site. That's the recurring Gen X we see every year coming. And that is to a point at this time that I think there's not much lower that we can get. I mean, it will be around this EUR10 million, EUR10.5 million going forward, which is, I think, fine in itself, but then you need to focus also on your indirect costs. And that's what we have been doing over the past year. And that's how we've been pushing down mostly our EPRA cost ratio to the 24%. I think it's not far from, let's say, the internal target we've set ourselves around 22%, 23%. So I think we are on the right track.
Matthijs Storm: Thank you, Dennis. Then we have three questions from Steven Boumans from ABN ODDO. First question, I see you have reiterated your full-year 2025, EUR1.75 guidance. So not for this year, but for next year? That's correct, Steven. What are the main assumptions here in like-for-like growth, average cost of debt, and whether it includes any acquisitions or disposals? So what we can mention, Steven, is that in this assumption for full year 2025, we have not included any acquisitions or disposals. Please bear in mind, if we would sell in the French market, but also in the Dutch market, I think it's likely that that will be certainly in the Dutch market at a yield sub 6%. And don't forget that the last drawings in our RCF were also around 6%, I think. So if we use the proceeds to redeem that, there is no impact on earnings. But again, in our assumptions, we have not included those. For the average cost of debt, of course, we've already done the refinancing and we've already achieved the Fitch BBB stable rating. We're not counting on any further ECB rate cuts, Steven, or on further lowering on the long entail of the yield curve. So that would be upside, of course, if that would happen. Finally, the like-for-like growth for the second-half of the year, what you will see, and I think that is also your second question, are you still on track for 5% like-for-like growth for H2 2024? For the second-half, we do expect indeed 5%. The Dutch figure is already there. In Belgium, of course, the first-half was impacted by the bankruptcies. But now with the least bankruptcies, they're almost all done. And I'm quite confident after the summer break, they're all signed. We're very confident that we can achieve that, Steven. For 2025, we only pencil in inflation in terms of like-for-like rental growth, Steven, no increase in occupancy, and also no positive or negative, based on what you think is going to happen, leasing spreads. Finally, a question for Dennis. You state the balance sheet is decreasing several times, but the actual EPRA LTV is increasing. Can you give some color on where you expect the EPRA LTV to end by year-end 2024? And I think the current EPRA LTV is about 48%.
Dennis de Vreede: Okay, yes, well, that's a good question, Steven. So we keep working, as you know, on lowering our LTV. We measure ourselves mostly by the net LTV. That's, to me, the important KPI. But certainly also by the fact that we've been seeing positive revaluations over the past, I would say, now two years is helping us, of course, to lower our EPRA LTV. The fact that we keep looking also for acquisitions which are equity-backed with our contribution-in-kind mandate that we have from the AGM will be helping also to contribute to that. And obviously, finally, I would say, the disposals in France. Timing is always uncertain, given what Matthijs was just saying. But by targeting also a few Dutch disposals, we do believe that we can push that EPRA LTV down from the current 48% to the, let's say, Sub 45%.
Matthijs Storm: Next question is from Nico Inberg. What would be the impact on your interest costs if the ECB cuts another quarter point? Good question. I think we have a number of facilities, Nico, which are directly linked to the short end of the curve, the Euribor, because we do quite short-term drawings on those facilities. I think that is the Dutch EUR250 million revolving credit facility.
Dennis de Vreede: Yes. Plus EUR50 million, so that's EUR300 million. So yes, indeed, our floating portion is about 23% from top of my head. So out of the EUR986 million, you could basically calculate yourself what the impact more or less would be. But yes, so that's on the floating side, of course, from our portfolio.
Matthijs Storm: Then we have a question from Gert De Mesure. Hello, Matthijs Dennis. Any possible acquisitions in Belgium? LTV is very low. That's correct, indeed. Biggest CapEx is behind us. More room? Well, biggest -- the CapEx is low at the moment in Belgium, Gert, but we still have some projects to complete. We're working on a redevelopment of the retail park in Bruges. There will also be a plan for Turnhout. Liege is coming. Nivelles, we will start the works next year. So there is also still some CapEx to come in Belgium. Having said that, indeed, yes, Belgium is a very logical market for us to grow the portfolio. We have an established team. We have reorganized the company last year. As you know, we commented on that in the full-year 2023 results. So I think, yes, we're ready for growth of the Belgium portfolio. And indeed, it's a market we know very well, and we have the right balance sheet in Belgium to do so. Then we have a question from Benjamin Legrand regarding valuations. Belgium has increased by close to 5%. Your EPRA net initial yield is now below 6% for Belgium. Are valuers considering further ERV growth? And how come Belgium is now different in terms of net initial yield versus Netherlands while they were close to each other before? I think, Benjamin, that it's always important to realize the difference in EPRA net initial yield versus the CAP rate that valuers are assuming. Don't forget that the EPRA net initial yield in Belgium in the first-half of 2024 is also impacted by the vacancies. If there is no rent coming from certain units, that has an immediate impact on that EPRA net initial yield. So the EPRA net initial yield in Belgium will go up again in the second-half of the year, but that will not have a negative impact on valuations. Is there still room for ERV growth in Belgium? I think the answer is yes. We're still leasing way above ERV. We're now getting some of the credits from the valuers, both in Belgium and in the Netherlands, by the way. But we think that in the second-half of the year, there is more room for growth. On the yield side, on the CAP rate side, of course, we will see what's going to happen, first and foremost, with the interest rates. Then we have a question from Hidde Fekler. Do you have a view on Hammerson value retail transaction in terms of market conditions pricing? No, I don't have a view on that, Hidde. I leave that to the analysts and to Hammerson itself. So I'll leave it with that. Why is it so important to rotate capital out of the Netherlands, is a question from Nico Inberg. It's two reasons, Nico. First of all, fiscal. We are losing the REIT regime as of 2025. So we will start paying corporate income tax in the Netherlands. We do have quite some significant tax laws to carry forward from the past, which we can use, of course, but we rather use that on a smaller portfolio than on a bigger portfolio. Secondly, I think it's also interesting after some positive valuation sessions to prove to the market that we can sell a full service center at or probably even above those market valuations. So it's in cash and not on paper. Nico has another question. You're planning on selling two shopping centers in the Netherlands. Are these unfit to transform into full service centers, or is that not a criteria? I think we already answered that one, Nico, but maybe you came in later. One is a completed full service center. One is an asset that we cannot transform indeed, and a joint venture discussion is also on a completed full service center. Then I see again the questions from Steven coming in, but I think we already answered those on the like for like and on the guidance for 2025. So I'll give you a few more seconds if there are any further questions. Yes, we have another one from Benjamin Legrand. Your average ERV is up from EUR241 to EUR231. I think it's the other way around. Over the past six months, that's correct. Could you please let us know what was the ERV growth in Belgium, France, and the Netherlands? On top of my head, that's page 40 of the deck. Then we have to skip a bit forward. I don't know if the operator can show this slide also to you. I hope so, but otherwise I refer to the presentation on the website, page 40, Benjamin. Here you can see the breakdown of the valuation result, and I think the numbers speak for themselves. All right. Well, then I don't see any further questions coming in. Thank you very much for the attendance. I can see on the screen we had a record number of attendees, which is good. So there's a lot of interest in the company. Thank you for that. Thank you for your time. Also, thanks for all the questions from the investors and analysts. I hope everyone has a fantastic summer break, and we'll see you back in September after the summer. Thank you.
Dennis de Vreede: Thank you.